Operator: Please standby, we are about to begin. Good day and welcome to the Superconductor Technologies Second Quarter 2014 Conference Call. Today's conference is being recorded Thursday the 7th of August. At this time, I would like to turn the conference over to Cathy Mattison. Please go ahead ma'am.
Cathy Mattison: Thank you Danny. Good morning and thank you for joining us for STI's second quarter conference call. If you have not received a copy of the release and would like one please call LHA at 415- 433-3777 and we will send one to you. With us from management today are Jeff Quiram, President and Chief Executive Officer; and Bill Buchanan, Chief Financial Officer. I will review the Safe Harbor provisions of this conference call and then I will turn the call over to Jeff. Various comments regarding management’s beliefs, expectations and plans for the future are forward-looking statements and are made in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance and are subject to various risks, uncertainties and assumptions that are difficult to predict. Therefore actual results may differ from those expressed in the forward-looking statements, and those differences could be material. Forward-looking statements can be affected by many other factors, including those described in the Risk Factors and the MD&A sections of STI’s 2013 Annual Report on Form 10-K. These documents are available online at STI’s website, www.suptech.com or through the SEC’s website, www.sec.gov. Forward-looking statements are based on information presently available to senior management and STI has not assumed any duty to update any forward-looking statements. And now, I would like to turn the call over to Jeff.
Jeff Quiram: Thank you, Cathy, and good morning everyone. I will begin with an update on our Conductus wire program and then I’ll turn the call over to Bill for a review of the financials. In the second quarter, we focused on completing process improvements on a pilot scale and began the assembly of our 1km RCE machine. Our current plan is to commercialized 500 amp Conductus wire which far exceeds current industry standard performance and will enable several key customers to take advantage of this improvement to optimize the performance of their own products. I am happy to report that we successfully demonstrated this capability with our pilot production equipment in the second quarter. We completed a full capacity pilot run Conductus wire that delivered a minimum current of 500 amps per centimeter width at 77 degrees Kelvin across the entire deposition zone. This represents 100% yield for 50 meters of 10 millimeter wide wire which is the equivalent of 100 meters of 4 millimeter wire. Our customers report that our critical current performance continues to be industry leading. This performance achievement is very encouraging and our plan is to achieve much higher currents in future years. In the span of less than six months, we have increased the wire performance from our RCE pilot machine from 350 amps per centimeter to 500 amps per centimeter at 77 degrees Kelvin, meeting our plan. This is important for two reasons: First, industry intelligence indicate that customers desire to use higher amp wire to reduce the amount of wire used per device which ultimately reduces the cost of their end product; Second, as the selling price of -- as the selling price of HTS wire increases with the higher end performance, that will drive additional revenue growth for STI. This quarter, we completed the installation and calibration of characterization equipment that enables us to testing of this wire performance up to 1,000 amps on one kilometer lines. This important production tool greatly improves our efficiency, capacity and quality. This equipment is also the accepted testing standard in the industry. At our Austin facility, we’re currently focused on the installation of our one kilometer RCE production equipment. A one kilometer production equipment consists of the material source chamber and the deposition chamber which comprises a hardware and the software control system that runs the hardware and manages the deposition process. We have posted photographs of the installation progress of the new production RCE machine on our website; you can find them in the superconducting wire section at the bottom of the Conductus Process page. Our plan is to continue to update that information as our installation progresses. The source chamber is installed and being operated independently of the deposition chamber. This allows us to test the vacuum pumps, material sources and the majority of our control software. The system control software is operational and currently being calibrated and tested. The deposition chamber is nearing shipment from our supplier. While we have planned to have the 1 kilometer RCE machine operational at the end of the second quarter, we have encountered several delays related to the production equipment failures at our supplier’s fabrication plant. These failures are now corrected and we are working closely with our supplier to finish the chamber assembly as quickly as possible. We expect the deposition chamber to arrive at our Austin facility in late August. We are prepared, the external infrastructures is in place to position the deposition chamber and all internal assemblies are operational on-site and ready to quickly complete the full assembly. The RCE machine is within the planned budget. We expect to have the system operational late in the third quarter of 2014 and we’ll ramp production capacity during the fourth quarter. When fully operational in 2014, STI expects this machine to have the capacity to produce 750 kilometers of Conductus wire per year. The manufacturing process have Conductus wire requires three unique processes that each utilizes separate machine. This quarter, we enhanced the performance of our SDP machine by increasing process with from 10 millimeters to 100 millimeters. The SDP process prepares template by making the surface extremely smooth. The SDP process allows the STI to achieve significant cost savings over the use of electric power template. This system enhancement reduces template cost and increases material throughput. Earlier this year we fully verified the readiness of our IBAD machine the IBAD process completes with right surface conditions for superconducting materials to be deposited on the template. So to summarize two of the three wire production processes have been fully scaled up to produce 1 kilometer length of Conductus wire, the last effort to complete the 1-kilometer RCE deposition system which we expect to accomplish shortly. Now I will review our customer activities. In the second quarter and the third quarter through August 1, we shipped 11 customer orders, fixed for Stage I customers conducting performance evaluation and five for Stage II customers testing stimulated devices for commercial deployment. Five of the 11 shipments were to new customers as we continue to grow our customer base. During the same period, we’ve received five new orders and private commitments for evaluating qualification testing as customer interest remains strong. Year-to-date we have shipped 20 Conductus wire orders. Several of our Stage II customers are in the late stage of the qualification process. The production capacity of our pilot RCE machine has limited the volume of wire we have been able to produce for customer projects. This restraint along with the ongoing finishing layer evaluations has repeated our customer’s ability to build the demonstration projects needed to achieve full qualification of our Conductus wire. Our customers continue to be very supportive and are working closely with us to complete the qualification process. We expect to satisfy the Conductus wire backlog for qualification projects and other customer wire commitments in early Q4 as capacity from production RCE system comes online. Core orders and other customer work we have been exceeded the capacity of the RCE pilot machine for the third quarter. As our customers move from the lab environment to commercial device qualification, the wire quantities necessary for the projects significantly increase. Our current customers are evaluating Conductus wire their multiple applications such as superconducting fault current limiters, high performance magnets, power cables and nuclear magnetic resonance or NMR machines. As previously announced in the second quarter, STI was awarded a new patent for our proprietary superconducting material composition and manufacturing process. This patent further enhances the company's intellectual property portfolio that supports the Conductus Superconducting Wire program. On the marketing side, throughout the quarter we have hosted several customers and investors at our Austin facility. In May, we presented at Superconductivity for Energy Conference in Italy. This international conference brought together experts in the field of high power applications with Superconductors, high field magnet technology, power devices and high current applications. We have conducted meetings with all of our key customers that attended as well as with several new customers. The follow up meetings and activities after the conference have resolved in orders being placed for Conductus wire. Next week, we will exhibit and present at the Applied Superconductivity Conference in Charlotte, North Carolina, that over 1,500 power generation transmission and energy storage customers will attend. In late August, we'll also attend the CIGRE 2014 Conference in Paris, France, where the focus is on the design and development of next generation power systems along with the optimization of existing power grid equipment. We will host a booth that will highlight the use of Superconductivity or use existing and emerging utility applications. You can find more details about these conferences on the events page of our website. Newer installations for Superconducting cable systems and fault current limiters continue to make news by offering smaller lighter and more efficient solutions through the conducting devices are becoming effective alternative. We believe Supercon activity has brought our applicability and is one of the most promising enablers of energy efficiency in the 21st century and we’re excited about our future as a supplier for the electrical device industry. Before I turn the call over to Bill I’d like to congratulate the Resonant team on its successful IPO in May. We’re extremely pleased with the value that the Resonant IPO creates for our shareholders. We wish them the best of they develop their reconfigurable resonance technology for the rapidly growing mobile device industry. Now to Bill will for a review of the financials. Bill?
Bill Buchanan: Thank you, Jeff. During the developmental stage of our HTS wire program we have continued to sell wireless products. In the second quarter we again recorded revenue from our Conductus wire sales, however the amount is not yet material and our revenue was primarily from our wireless products. Our second quarter revenue was $75,000 compared to $555,000 in the year ago quarter. The commercial gross margins from the sales of our wireless products were negative in the second quarter as opposed to positive in the year ago quarter. Total R&D expenses amounted to $1.5 million for the quarter and $1.4 million in the second quarter of 2013. This expense is up slightly due to our increased efforts on our Conductus wire program. SG&A expenses were $1.4 million, compared to $1.1 million in the year ago quarter. The year ago quarter included a $200,000 onetime credit related to our Resonant spin-off. In the second quarter of 2014 we recorded a one-time gain of $3.5 million from our investment in Resonant. This gain was the result of the fair value treatment of our common shares of Resonant we received upon completion of their initial public offering in June. Also we've recognized a non-cash expense of $656,000 for the fair-value adjustment of our warrants issued in August 2013. This amount will fluctuate quarterly based on several factors including our stock price. Net loss for the second quarter was $55,000 for a loss of less than $0.01 per share which includes the $3.5 million one-time gain compared to a net loss of $2.4 million or a loss of $0.54 per share in the prior year's quarter. The total number of common shares outstanding at June 28, 2014 was 13.1 million shares. For the first half of 2014, total net revenue was $464,000 versus $1.3 million in the first half of last year. Including the aforementioned $3.5 million one-time gain the net loss for the first half of 2014 was $3 million or $0.24 per share compared to a net loss of $4.8 million or $1.12 per share for the prior year's first half. On to the balance sheet, at June 28, 2014 cash and cash equivalents totaled $3.6 million. In the first six months of 2014, $4.6 million was used to fund our operations and $200,000 was used to fund changes in our working capital. In addition, we invested $2.9 million in capital expenditures on our HTS wire program during the first half of this year. Working capital totaled $6.7 million and based on our current forecast, we expect our existing cash resources will be sufficient to fund our planned operations into the fourth quarter of 2014. At the end of the second quarter 2014 accounts receivables $278,000, current and non-current liabilities totaled $8.3 million at June 28th and included $6.6 million for the fair value of our warrants. And now operator, please open the call for questions.
Operator: Thank you. (Operator Instructions). And we'll take our first question from [Andrew Shapiro with Modern Capital Management]. Please go ahead, sir.
Unidentified Analyst: Hi, it's Lawndale Capital Management. Few questions if you could. You just mentioned how you have sufficient cash you believe to get you into Q4 2014. Fortunately, we're currently in Q3 2014, which is not from (inaudible). Where do you have the exercise price of warrants other sources of potential cash generation to provide the company an appropriate cushion to get the new facility up and running and cash flow generating?
Jeff Quiram: Good morning, Andrew. To answer the warrant question first. We have a number of warrants out there, they have very exercise places, the one that I think are most relevant for this conversation have exercise prices at $2.57, I heard is that correct Bill?
Bill Buchanan: That is correct.
Jeff Quiram: Yes. And so there is that. The other thing that we've always been working on Andrew is we continue to sell equipment out of our wireless manufacturing facility in Santa Barbara; we have value in conjunction with our resident holdings; we have value in conjunction with a lot of our IP and continue to look for opportunities to monetize that. So those are just some of the methods that we continue to look at to move forward. The majority of the investment in equipment has been made, so really right now it’s all about just bringing it up. We don’t have any big capital expenditures that need to occur anytime soon. So now, it’s all about bringing that machine up and getting it operating. And we’re being as aggressive as we can to make sure we manage our cash to be able to do that.
Unidentified Analyst: Right. As a follow-up, how many warrants are we talking about at the 257? And are you Resonant shares fully registered and salable and is that balance sheet value reflects current market pricing?
Jeff Quiram: The Resonant shares are registered. However, we are restricted, so we cannot just go into the market and sell them. We value them at a discount to the current price of Resonant because of that restriction and other factors. So when Bill talked about how valued it, it’s certainly, it’s valued below what the market price of Resonant is today.
Unidentified Analyst: Okay. And when you say it’s restricted, is it restricted in that you can only sell so many shares a quarter or you are in a lock and until when?
Jeff Quiram: We are in a lock up and any release from that lock up is at the discretion of the underwrites. And so that lock up was a year from their IPO date. So, we’re locked up into next year as far as selling them on the open market.
Unidentified Analyst: Okay. And then can -- your installed first and second phases of the new large machine, can it produce for use in your current small pilot vacuum chamber, the templates that could be used and at a more cost effective level?
Jeff Quiram: Well, our template production gear has been what’s been producing the template that we’re using in our smaller machine to-date. So, because usually what you Andrew is you might be building that template of longer lengths, but you can just cut it and use the 100 meters in that smaller machine. The bigger…
Unidentified Analyst: So, you are already using it to the extent you can in your -- because you are missing, if I'm correct, just the final phase chamber or machine and that's just been delayed. But can the new components of the big machine be utilized already in what you are producing for your test customers and in a more cost effective manner?
Jeff Quiram: Well, if you mean, can the lower chamber of that big machine be used to reduce or improve whatever we deliver to customers today, the answer is no.
Unidentified Analyst: Okay.
Jeff Quiram: The lower chamber is really -- it's what we call the source chamber. So, it’s where all the metals reside and where they are evaporated and prepared, and you create the plums that go into the depositions on. But we still need that deposition, that deposition chamber which is what we’re waiting for on this large machine is -- well, it needs to be up there, so there is something to deposit on.
Unidentified Analyst: It’s fully integrated, basically.
Jeff Quiram: It is a fully integrated machine for those kilometers lengths. When I answered you the first time, I guess I thought you were talking more about the first two steps of our manufacturing process which is the creation of the template and that is what we’ve been doing and we’re using that template in our pilot machine. But now, I mean that 100 -- that kilometer machine needs to be complete but we’re going to get any material off of it.
Unidentified Analyst: Okay. So, you basically just need to get a little bit more cash to go over the go line somewhere. Is there contemplation at all of one final round of a private placement and all that?
Jeff Quiram: We have not -- we have no plans at this time Andrew to do another private placement. We’re looking for other ways to get us where we need to go. And that’s -- I guess that’s all I really have to say about that right now.
Unidentified Analyst: All right. If you end up needing it, make sure your bankers call us. Thank you.
Jeff Quiram: Okay. Thank you Andrew.
Operator: Our next question comes from Jon Hickman with Ladenburg.
Jon Hickman - Ladenburg: Hi.
Jeff Quiram: Good morning Jon.
Jon Hickman - Ladenburg: So, you recognized gain but you haven’t sold any of the Resonant shares, right?
Jeff Quiram: That’s correct.
Jon Hickman - Ladenburg: Okay. I just wanted to make that clear. Then, can you talk a little bit about, I think in one of our previous conversations, you mentioned the fact that or maybe it was even in a press release that you had actually manufactured wire with amps per centimeter much higher than 500, can you talk about that?
Jeff Quiram: We have periodically produced various lengths of wire that if you higher performance on 500. And so, what’s that then useful for is just to show that the deposition process is capable of doing it. The next step of course is to do it in a meaningful length but with a meaningful yield. Because when you talk about doing a high, a higher performing piece of wire all the way you do it if you just cut everything that's lower around it off. And so, while that's interesting from a technical performance perspective, it limits the use of that, of that wire. So, I think that the base step is when you get that performance on usable lengths of wire and that's a more meaningful. So, I think we have talked in the past that we’ve far exceeded the 500 but I would say that we haven't done it with a 4 on, like we talked about in the press release. Yeah, 100% yield with a minimum performance of 500 amps across the entire length. I mean that's really the metric that's important and as you move up that power performance scale.
Jon Hickman - Ladenburg: Okay. So, you used to focus that pilot machine and you got 500, right?
Jeff Quiram: Yes.
Jon Hickman - Ladenburg: Okay. So now, you talked about new customers and you talked about some of your customers are better in the technical putting this wire on actual products, so can you talk about when one of those customers might step up and give you an order?
Jeff Quiram: Well, that is definitely something, we've been talking about it for a while, it is a, it's a primary mission or ours, it's really what, we're doing all of this work on qualifications so to get to the point at where one of them will do that. I have been several times in the past by giving people guidance on one I think it's going to happen and then it's clear that my crystal ball is a little quality on that is that not been right. Bill and I can say is that, we continue to move down that path, we continue to knock down the barriers that are in the way, I think we'll close with a couple of them. But ultimately they the ones that’s side and the other ones that right the order, so all I can say Jon is I really do believe we're moving towards that day and I am as anxious for that day to come us anybody.
Jon Hickman - Ladenburg: Is it, do you believe that you need the customer to actually come out and visit to give you in order or could you get an order at one of the conferences you are going to?
Jeff Quiram: Well, if it was associated with the customer visit, I think if that was the only thing then we would already in order, because we’ve had several of them. So we -- I think that it's, we have a lot of meetings scheduled, we continue to try to push the ball forward on the business side as our technical teams work together to try to complete qualification. I don't think it takes another visit necessarily Jon and I think folks that are probably the most engaged with us have already been to this.
Jon Hickman - Ladenburg: So is there any particular hurdle that are still trying to knock down thing like then we have talked about how some customers want plating or something, do you care to elaborate on any of that?
Jeff Quiram: Well I think the biggest thing we have really been struggling with is as we continue to tweak the recipe for them primarily on finishing layers that requires us to produce more wire to do that and we really we just can’t get enough wire out of that pilot machine. I think that has been a restraint on our side and we’ll probably continue to be a restrain as I mentioned in my prepared remarks. We have more demand right now already in third quarter and we know we are going to get off that machine. So any work on qualification where something needs to be redone or hey let’s do it one more way well that’s just at least one more thing that needs to go through that machine right now and that’s the problem. So we continue to try to prioritize and seek on those orders in a way that that get gives us what we want to go in fastest manner but that has been one of our largest impediments to-date.
Jon Hickman - Ladenburg: Okay, thanks. That’s it from me.
Jeff Quiram: Okay, thank you Jon.
Operator: (Operator Instructions) Our next question comes from William [Lap], Private Investor.
Unidentified Analyst: Good morning, Hi Jeff and Bill. Bill I think that from your remarks there were no warrants exercised this quarter?
Bill Buchanan: That’s correct, no warrants this quarter.
Unidentified Analyst : Okay. Jeff on the I know -- I wasn’t real clear what you told Jon, but I mean you are getting closer and closer to get the wire such with the coding that, that's what they need to try in there devices, is that correct? I mean do they all need copper or silver, whatever the coding is on the top of your wire for their usage, because much…..
Jeff Quiram: Yes. So, I mean every application is a little different. So most of them need some amount of silver, some need thicker silver than others and then some also need another finishing layer over copper. And they need those in varying thicknesses, based on whatever their product requires. So, it's that sort of, and then they all have their own individual mechanical requirements. And then all that. So every time you put a different layer of something on, you need to bring it in, you need to test it to make sure it meets all the mechanical requirements. And so, it's just a, it's a little bit of an iterative process to get it nailed down and that's what we're going through with several of these guys.
Unidentified Analyst: But would you say of the several customers that you have and you have been working the closest that have the most ready to go attitude that you are 95%, to 98% there to meet their requirements.
Jeff Quiram: Well, I had hesitate to get to fine on the number, but I would say you are well down the path, you are more than 75% the way there I guess.
Unidentified Analyst: Yes, but I mean why does the customer need the order? That’s what everybody is kind of thinking. What do they need for a degree of satisfaction and just say, okay, and let's go follow it that’s what I get.
Jeff Quiram: They need, the lengths of wire that they need, that’s necessary to build their marked up version or whatever they are doing to test for their qualification and then you’re not worried to do that to perform exactly the way they wanted to perform and that’s what they need. And until now, we’ve -- we’re close, but we’re not quite, we haven’t quite gotten there. So….
Unidentified Analyst: But not far away…
Jeff Quiram: One more iteration is, the two more iterations, I mean I think that’s the part I can’t really respond to, it was (inaudible).
Unidentified Analyst: Okay. It seems to me it’s not if, it’s when. I mean they wanted as much as we want to sell it, right?
Jeff Quiram: I believe that for true, yes.
Unidentified Analyst: Okay. The next question is on those 24 ships you delivered to that cable manufacturer, are you doing that still or are you holding not off on that because of these others that you needed to one time last year, you’re going to deliver those 24 ships?
Jeff Quiram: No that’s definitely on our -- that's definitely one of the consumers who wire off of our machine. And I think we’ve talked about it in the past. I think we were really close to having that at one point in time. And then this goes back to the kind of the finishing layer issue. And so you have it and then finishing layer isn’t quite what you need and so then you don’t have it, because it is not like you just tweak the wire that you already had; you start over. Right?
Unidentified Analyst: Okay.
Jeff Quiram: So, now you need to get those 24 strips off the machine again and they need to be consistent and then you don’t get the next finishing layer. And so that’s the challenge. It’s not like you look at it first time and say that was a quite right, let’s do another finishing layer, let’s just redo the finishing layer, well you can’t. I mean we’ve got one shot at just putting layers on the stuff. If it’s the way you want it, then great. And if it’s not, then you start over. I mean that’s the nature of the piece. Frankly that’s why this is a difficult business, that’s why it’s I think challenging for some that don't have a repeatable process. At the same time, my belief is that once you figure out exactly what that process, what that recipe is and exactly what it needs to be, our manufacturing process allows us to -- the part that we control, we can dial it in and do it consistently. And we’re working with people on these finishing layers. And I think once we know exactly what that finishing layer is going to be, they’ve shown the ability to replicate it and be consistent as well. So, that’s why I think I go to the it’s an if -- it’s a when, not if. But we just believe -- we haven't done yet and that's we haven't completed and got 100% trust market. Until we do, you are not going to have full qualification. So, just right now, just keep getting it and keep plugging at it and make it happen. That's what we're doing.
Unidentified Analyst: Okay. And when the chamber comes in, that isn't going to be a big problem to hook it all up, right? And most of the work we've done added to, I mean do you think when the big chamber comes in, that's going to be problem to get net all flowing together? Do you know the peak…
Jeff Quiram: Well, I don't think it's going to be a problem. But again, I would be -- I don't want to minimize the amount of work associated with this. I mean this chamber is not like we -- it's not like you just put it all on a forklift and put it up there and put two bolts and it's ready to go. So, I mean it's a big, it's big. I mean you -- the rigging and all that necessary to put it in, and it doesn't -- none of it happens in an hour I guess is my point. And so it's a big machine, it’s at lot of scale. Do I have any concerns it’s going to go together? No. Do I have any concern about the capability of our team to be able to put pieces in and get it up and operational? No. But I mean it takes days to do that, each step of the process takes a day or two or three just because of the scale of what we're doing. And so we've got a plan to try to get it in there and get it operational as quick as possible. Well on the other side of it, the most important thing is that you do it right, because getting it in there and making a mistake that damages something is well, that’s just not acceptable, if you do that then you had a real problem. So we're going to be working on it as fast as we can with the absolute focus being on making sure you do it right.
Unidentified Analyst: Okay. And out to prevent us with the problems here. Okay well thanks Jeff, I don't think I have anymore. I think we're on our way.
Jeff Quiram: Thank you, Bill.
Operator: (Operator Instructions). At this time, it appears there are no further questions. I'd like to turn the call over to Mr. Quiram for any closing additional remarks.
Jeff Quiram: I would like to thank you all very much for joining us today. And we look forward to speaking with you again on our next call.
Operator: And as a reminder to our audience that does conclude today's conference. We appreciate everyone's participation.